Operator: Greetings, welcome to ATA Creativity Global's Third Quarter 2022 Financial Results. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to Alice Zhang of The Equity Group. Please go ahead.
Alice Zhang: Thank you, Sherry, and hello, everyone. Thank you for joining us. The press release announcing ATA Creativity Global's or ACG's results for the third quarter ended September 30, 2022, is available at the IR section of the Company's website at www.atai.net.cn. As part of this conference call, the Company has an accompanying slide presentation available on its website. A replay of this broadcast would also be made available at ACG's website for the next 90 days. Before we get started, I would like to remind everyone that this conference call and any accompanying information discussed herein contain certain forward-looking statements within the meaning of the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. These forward-looking statements can be identified by terms such as anticipate, believe, could, estimate, expect, forecast, future, intent, look forward to, outlook, plan, should, will and similar terms and include, among other things, statements regarding ACG's future growth and results of operations; ACG's plans for mergers and acquisitions generally; ACG's growth strategy, anticipated growth prospects and subsequent business activities, market demand for, and market acceptance and competitiveness of ACG's portfolio training programs and other education services. The impact of the COVID-19 pandemic on ACG and its operations and ACG's plan and anticipated benefits of the measures implemented in response to the COVID-19 pandemic. Although the Company believes that the expectations reflected in its forward-looking statements are reasonable as of today, those statements are subject to risks and uncertainties that could cause the actual results to differ dramatically from those projected. There can be no assurance that those expectations will prove to be correct. Information about the risk associated with investing in ACG is included in its filings with the Securities and Exchange Commission, which we encourage you to review before making an investment decision. The Company does not assume any obligation to update any forward-looking statements as a result of new information, future events, changes in market conditions or otherwise, except as required by law. Regarding the disclaimer language, I would also like to refer you to Slide 2 of the conference call presentation for further information. All U.S. dollar amounts in this conference call relating to financial results for the third quarter ended September 30, 2022, are converted from RMB using an exchange rate of RMB7.1135 to US$1, the noon buying rate as of September 30, 2022. All historical conversions are accurate as of the time reported, unless otherwise noted. The Company reports its financial results on the U.S. GAAP in RMB and all percentages calculated in the presentation are based on RMB unless otherwise noted. For those of you following along with the accompanying a PowerPoint presentation, there is an overview of the company on Slide 3. In addition, we are more than happy to take investor questions during today's Q&A session or via email to the Company. If you wish to ask questions, you can send your emails to the email address azhang@equityny.com and please specify whether you would like to have your name read during the Q&A session. On today's call, the Company's CFO, Mr. Ruobai Sima will provide a brief overview of operating and financial highlights for the third quarter of 2022; Chairman and CEO, Mr. Kevin Ma; and President, Mr. Jun Zhang, will follow with an update on the Company's outlook and its long-term growth strategy before opening the floor for questions. With that, I'll turn the call over to ACG's CFO, Mr. Ruobai Sima. Please go ahead, Mr. Sima.
Ruobai Sima: Thank you, Alice, and welcome, everyone. Good evening to those in America. We appreciate everyone's time. We remain focused on providing quality art, education and services for our students during the third quarter 2022, which is when the busy overseas daily application season begins. Total revenue for the period was impacted by decreased contributions from portfolio training services as a result of periodical lockdowns in some of our key cities in response to local COVID-19 resurgence. However, demand for our research-based learning programs remained steady as students have consistently expressed how important personalizing their creative education period [to them with many regarding] as part of their unique overseas study application package. Our primary offering, the portfolio training program enrolled 616 students during the period, which is stable compared to the same period last year. We delivered 36,031 credit hours for portfolio training programs, a decrease from the prior year period, primarily due to the occasional lockdowns in key cities such as Shenzhen and Chengdu. Although total credit hours were down, project-based program credit hours increased noticeably as a proportion of total credit hours. As a result of our ongoing effort to shift more students to project-based versus time-based program credit hours, project-based programs are designed with more flexibility and customization to allow our students to achieve their goals more effectively with potentially [fewer] credit hours needed in comparison to time-based programs. Therefore, total revenues did not decrease as drastically to the decline in total credit hours. During third quarter 2022, we introduced a new platform for students and teaching staff to keep them manage and track their progress. The platform aims to help both students and ACG teachers follow study goals easier and make timely adjustments. During the period, we also launched multiple new programs in different subject areas, many of which feature a combination of online and offline study experience and the lectures from overseas [procedures] are school professors. We expect to make this offering available to students with developing new programs in mind. With that, let's move to financials for the third quarter and first nine months of the year. Total net revenue for the third quarter of 2022 were RMB52.1 million compared to RMB55.3 million in the third quarter of 2021. The decrease was primarily due to decreased revenue contributions from portfolio training services caused by the local COVID-19 resurgences and subsequent lockdowns that I noticed earlier. Gross margin was 45.1% during the 2022 third quarter compared to 51.4% in the prior year period, primarily due to decreased revenue from portfolio training services, which is impacted by local COVID-19 resurgence in certain core cities during the quarter. Net loss attributable to ACG improved to RMB12 million, which compared to a net loss attributable to ACG of RMB26.2 million in the prior year period. This improvement was primarily a result of decreased general and administrative expenses related to the final one-time funding support of RMB10 million to Tsinghua University that was paid in the prior year period as well as RMB6 million impairment loss of investment recorded in the prior year period. During the first nine months of 2022, net revenue was RMB128.3 million compared to RMB129.6 million in the same period of 2021. Gross margin was 42.8% compared to 45.7% in the prior year period. Net loss attributable to ACG was RMB49.9 million compared to a net loss of RMB31.1 million primarily due to one-time RMB33.5 million investment gain resulting from the disposal of the company’s K-12 education assessment business in June 2021. The investment gain was partially offset by decreased G&A expenses of RMB10 million related to the funding support to Tsinghua University incurred in prior year period as well as RMB6 million impairment loss in relation to investment recorded in the prior year period that I noticed earlier. Moving back to balance sheet, we believe we are in a solid financial position with US$8.4 million in cash and cash equivalents. Working capital deficit was US$32.7 million and total shareholders’ equity was US$20 million at September 30, 2022 compared to working capital deficit of US$30.2 million and shareholders’ equity of US$30 million, respectively at December 31, 2021. With that, I'd like to turn it over to Kevin, who will expand upon our outlook and growth strategy. Kevin?
Kevin Ma: Thank you, Sima. We did provide our students [indiscernible] over the past couple of years. They have had to overcome [indiscernible] and real uncertain circumstance due to the pandemic time and again. Their determination to continue pursuing this study has only been made possible by dedication of our incredible teaching and support staff as well as our ability to [resume business] transition to remote cost delivery platform as a [indiscernible]. Due to the ability to act quickly and effectively, we have by and large continued with our regular day-to-day learning activities during this period, particularly when some of our training center location were impacted by local lockdowns and had to temporarily shutdown due to local COVID-19 resurgence. In light of this, [indiscernible] rewarding to see ACG’s students working harder during this 2022 applications season taking the next exciting steps forward in their creative study journey. During the third quarter of 2022, we introduced various programs to help students to view the comprehensive [indiscernible]. These programs include [art themes] fine arts, design, animation and games. I designed for students at a different stage of their art studies those that are applying for [art group] and those who are interested in exploring their [indiscernible] arts. This program in [cloud business] Central Saint Martins Art & Design Programs, Sheridan Animation & Games Summer Camp, and our exclusive and innovative Metaverse Summer School, all of which were delivered in a combination of both in-person and online formats. We have started to observe and agreed to opening up our international travel as many of our students have left home to pursue their [indiscernible] in monitoring their pandemic situation. We hope to see our students learning experience also return to same standards of [no managed zone]. We will remain committed to continuously providing quality curriculum and making sure our portfolio of offering and address the needs of our students. We believe our growth strategy is supported by our ability to stay relevant to understand the way to creative arts study [indiscernible] and reflected that in our curriculum development. We hence prepare closing 2022 with a strong fourth quarter [indiscernible] consider with key application deadline for many of our students and we are on to be serving them during this exciting time. I'd now like to hand it over to Jun Zhang, ACG's President, to provide an update on our current growth initiatives. Jun will make his remarks in Mandarin, which will be followed by the English translation. Jun, please go ahead.
Jun Zhang: [Foreign Language]
Alice Zhang: Thank you, Kevin. During the third quarter, we continue to provide flexible course delivery options for our students, particularly those who have been impacted by local resurgences. In addition to our ability to provide a seamless education experience for our students who believe our commitments to introducing new programs every quarter allow us to better meet the evolving needs of our students. We also launched a program during a quarter that I'd like to highlight here, which is the Intensive Training Class for the 2022 UWEE International Art Exhibition, designed to promote a theme of ‘One World One Future.’ Participating students spent 30 hours in immersive art creation courses and expose themselves to various artistic styles and schools. All classes were given in a smaller discussion type setting that students could choose to take in online or in-person format. Selected artwork from participating students will be exhibited at the Louvre Museum along with certificates and reference letter from international artists on the competition committee, which we believe adds to a significant highlight to the students’ portfolio of artwork. So far during the first quarter, we have launched more programs with diversified topics, including an Overseas Master Class in Visual Arts lectured by professors from New York University, two workshops focused on topics such as Tokyo Urban Meditation Cabins and the Metaverse in the post-pandemic era with different themes for students to choose from. In addition, we are supporting our students through the final stages of the overseas study application process and look forward to seeing what lies ahead of them when offers begin coming in, in 2023. In the remainder of 2022 and as we look ahead into 2023, we remain optimistic about the opportunities for us. We continue to benefit from our long-term institutional partnership, which allows us to have world-class teachers give lectures in our programs and provide quality joint programs with top arts institutions around the globe. More importantly, we believe our long history of driving positive student outcomes sets ACG apart from the competitors. We are always exploring new ways in which we can continue to – and reach the learning experiences of our students and this mission will not change. We believe ACG is well positioned to drive future growth as we strive to be a leading international provider of diversified art study experience offering. With that, I'll turn it back over to Kevin.
Kevin Ma: Thanks, Jun and Alice. In closing, ACG continues to support its students first. We have found a way to mitigate the uncertainty presented by the ongoing pandemic environment [indiscernible] position to on our growth strategy. As the world gradually opens up, we believe this will benefit and natural growth across all our business line. With that, operator, let's open it up for questions.
Operator: Thank you. [Operator Instructions] Alice?
Alice Zhang: Thank you, Sherry. I appreciate it. At the beginning of the call, we received a number of different questions relating to the company's operation. Specifically, I would ask one to the management team while we wait for the questions to queue up. So the first question I received is this. What are you seeing in terms of demand for overseas art study counselling? Is the demand still there or is it raining? And what trends have you observed over the course of the pandemic? That's my first question.
Ruobai Sima: Okay. And thanks Alice and thanks for the question. And [indiscernible] due to the ongoing pandemic environment, I think that demand for study abroad is still here [indiscernible] 12 restrictions that were implemented in early 2020, as the start of pandemic inevitably impacted many students' ability to pursue their study abroad option. And as a result, we saw a decrease in demand for our overseas study counselling services. In 2021, we saw students expressing a clear performance to pursuing their studies in the UK versus in the U.S., which used to be the most popular destination country for ACG students. This change maybe attributable to several factors, including the COVID-19 with a related several difficulties and geopolitical tensions. During third quarter 2022, we went through the overseas study programs application peak season where we observed a number of student pursuing this past show signs of recurrence, so not bad to pandemic levels. Regardless, our focus is to ensure that our – what lecturing, teachings and support staff continue to drive positive outcomes for our students to tie the short-term setbacks, which remain optimistic about the long-term prospect of our business in post-pandemic areas and we remain committed to helping our students achieving their creative study goals however they might be. Thank you.
Alice Zhang: Thank you, Mr. Sima. I do have a second question, which is that periodic travel restrictions and lockdowns in major cities of China are still there in place. And in that case, how much visibility do you have into the financial outlook for Q4 and into 2023 and do you anticipate any further impact on the financials from the pandemic in the remainder of 2022?
Ruobai Sima: Okay. And it would not be a prudent for us and to guess as to what will occur when it comes to the public health situation in China as [circumstance] remain fluid during the flu season. And this is ongoing pandemic environment. Our experience over the past two years has emphasized that the importance of building reliable remote learning delivery platform that allowed us the flexibility of continue and provide our quality curriculum students, when the situation warranted. Our teaching staff is well trained and adjusted so that they are able to teach effectively whether they are in-person or computer monitor. We expect our topline to grow quickly from Q3 of 2022 to Q4 and the fourth quarter is typically our strongest in terms of net revenue from portfolio training services as key application guidelines for many of our students in Q4. There remains some uncertainty surrounding the ongoing pandemic environment, but we will continue to keep the investment [indiscernible] of our outlook as they work on our budget for 2023. Thank you.
Alice Zhang: Great. Thank you, Mr. Sima. Sherry, that's all the questions we've got. I will now turn the call back to you for live Q&A questions.
 :
Operator: Thank you. [Operator Instructions]
Kevin Ma: Thanks, again, to all of you for joining us. If anyone has questions for us, please feel free to reach out directly to us or our Investor Relations firm, The Equity Group. We are always available to speak to investors and look forward to speaking with you during our full-year 2022 call. Thank you.
Operator: Thank you. This does conclude today's conference. You may disconnect your lines at this time and thank you for your participation.